Operator: Good afternoon, and thank you for waiting. Welcome to Marfrig's Earnings Call for Q3 of 2024. This presentation is being recorded and interpreted into both languages. [Operator Instructions] We have Mr. Marcos Molina, Founder and Chairman of the Board; Mr. Tim Klein CEO for North American Operations; Mr. Rui Mendonca, South America Operations; Mr. Tang David, VP of Finance and IR; Jose Ignacio Scoseria, Corporate Director; Mr. Paulo Pianez, Sustainability Director; and IR Director, Mr. Eduardo Puzziello are all with us today. All participants will be in a listen-only mode. We will then have Q&A session. Further instructions will be given then. We would like to clarify that statements made during this conference are related to the company's business perspectives, forecasts, operational goals, financial goals that are based on the beliefs currently available to the company as well as information available to Marfrig Global Foods S.A. Future projections are no guarantee of performance because they involve uncertainties. They involve future events that depend on circumstances that may or may not occur. Investors and analysts that overarching economic conditions among other operational factors may affect Marfrig results that will lead to results that are substantially different from these future assumptions. Over to Mr. Eduardo Puzziello. You may have the floor now.
Eduardo Puzziello: Thank you for joining Marfrig's earnings call for the third quarter of 2024. Let me begin with Marfrig's consolidated revenue at BRL37.7 billion 12.4% above net revenue for Q3 of last year. Regarding revenue by geography, the North America operation accounted for 48% of consolidated revenue for the quarter. South America operation considering only the managerial results of continued operations accounted for 11% and BRF's results accounted for 41%. When we analyze revenues separately, the continued operation in South America recorded net revenue of BRL4.3 billion with an adjusted EBITDA margin of 12.1%. BRF's net revenue reached BRL15.4 billion with an adjusted EBITDA margin of 19.2%. Finally, the North America operation reported net revenue of $3.2 billion with an adjusted EBITDA margin of 2.4%. The consolidated adjusted EBITDA was BRL3.9 billion, 60% higher than that of Q3 of 2023. As a consequence, the consolidated adjusted EBITDA reached 10.3%, 307 bps higher than the margin for the same period last year. When we analyze the adjusted EBITDA for the quarter consolidated by geography, North America accounted for 11% of the total. The South American operation represented 13%. The BRF's EBITDA accounted for 76% of the total. On to the financial highlights now. I'd like to point out that the free cash flow was positive at BRL1.4 billion and the net income for the third quarter of this year was BRL79 million reversing a loss of BRL112 million for the same period in 2023. The dollar remains the primary currency for our results accounting for 74% of the consolidated revenue in Q3 of this year. Regarding Marfrig's financial leverage now. We have been deleveraging over recent quarters. Within that context at the end of this quarter, we reached a consolidated leverage of 3.0 points times the net debt multiple over the adjusted EBITDA for the last 12 months compared to 3.38 times at the end of the second quarter of 2024. On September 25th, Marfrig received a favorable court decision from CADE regarding the sale of assets in South America, which were delivered on October 28th with proceeds totaling BRL5.7 billion. Finally, the Board approved yesterday the distribution of BRL2.5 billion in dividends, a yield of over 17% compared to the last share price of the company. I’ll turn over now to Tim Klein, CEO for the North American operation. You may proceed now Tim.
Tim Klein: Thank you, Eduardo. Let's begin on slide 4 where I will comment on the results for the third quarter. Starting on the first chart on the left, sales volume was 4.9% lower than the same quarter of last year due mainly to the fact that Q3 of 2024 included 13 weeks of activity, while Q3 of 2023 included 14 weeks. Net sales were $3.2 billion, a decrease of 3.9% versus last year. The effect of one less week was partially offset by higher live weights and cattle costs. EBITDA came in at $79 million, which was 47.1% lower than last year with an EBITDA margin of 2.4%. Beef demand in the quarter was good both at the retail and foodservice segments. Beef prices increased but not enough to offset the high cattle prices and lower drop values. Now move to slide 5, where I will talk about US market data. Starting on the left USDA reported Kansas live cattle prices averaged $185.92 per hundredweight up 3.2%. The USDA comprehensive cutout averaged $313.74 per hundredweight, up 2.6% while the drop credit declined 15.4% to an average of $11.45 per hundredweight. The cutout ratio was 1.68 versus 1.70 last year. As we move into the last quarter of 2024, cattle feeders continue to have leverage as supplies tightened further. We are encouraged that beef demand remains strong, allowing us to maintain a profitable cutout ratio in spite of record high cattle prices. Looking forward to 2025, cattle supplies will continue to decline cyclically. As a result the industry will operate at reduced capacity utilization levels. Now I'll pass to Rui.
Rui Mendonca: Thank you Tim. On to slide 6 please. I'll discuss the Q3 performance of South America's continued operations. Let me start with the chart on the left, total sales volume of continued operations. We reached 219,000 tons this quarter, up 22% when compared to Q3 -- or the same quarter of 2023. The strong growth results from the company's investments in capacity expansion in recent years as highlighted in the previous quarter's earnings call. Moving on to the chart in the middle, net revenue. We reached BRL4.3 billion in the quarter, up 29%, the net revenue for the same period of last year. This growth is due to the combination of higher sales volume and average consolidated price with a special highlight on export prices, which grew over 10% in reals compared to the same period of last year. On the right that's the adjusted EBITDA chart. We reached BRL517 million, an increase of over 8% compared to the EBITDA for the third quarter of 2023. With this, we reached an EBITDA margin of 12.1% an excellent result despite the strong comparison base for the same period of 2023. Next slide please. I'll discuss the dynamics of exports in continued operations. In the third quarter of 2024, we've observed a smaller share of sales to China compared to the same period in 2023. Now they represent 49% of exports from the continued operations, South American operations. I'd like to remind you that while the Asian region remains the largest importer of beef, we have focused on expanding our sales channels into other markets to continually capture the best commercial opportunities. With this goal in mind, we have seen excellent opportunities in several markets with a special highlight in the North American region. Therefore, when we analyze the third quarter export chart for 2024, we see significant growth in this region's share. Moving on to the next slide. I'll conclude my part of this presentation showing you the new structure of South America's operations. As detailed on the map, we can see the operational structure and the geographical diversification of Marfrig's assets in South America. I'd like to remind you that despite the transaction completion and the asset transfer in Brazil, Argentina and Chile, we're still waiting for the decision of the Uruguayan authorities to conclude the transaction in that country. That concludes the South America operations section, and I hand it over to Paulo Pianez. He will comment on the sustainability highlights.
Paulo Pianez: Thank you, Rui. Marfrig achieved significant results in its ESG agenda in this third quarter. In the Marfrig Verde+, the traceability front, the company that already monitors 100% of direct suppliers through satellite this quarter achieved 89% control of indirect suppliers in the Amazon and 76% in the Cerrado. As for the regularization and inclusion of farmers 580 farms were reinstated this year based on the Marfrig Verde+ program. These are suppliers that have resumed operations in accordance with our commitments, demonstrating strong compliance to the principles of this program. More than 41 farms have been reinstated since the beginning of the program from 2021 to this quarter. Improving the production system more than 1,750 new suppliers, have joined the Marfrig Club program, which disseminates good sustainability practices. Still this year 100 new cattle producers joined the Sustainable Calf Program in the Juruena Valley in Mato Grosso in the Amazon region, offering technical assistance to small cattle farmers obtaining support to legalize their land and to promote the intensification of livestock production and forest restoration also with individual traceability of animals from birth. In terms of operational improvements and the national solid waste policy, the company expanded reverse packaging logistics by more than 2,000 tons of recycled materials, growing 49% when compared to the same period last year. Last but not least, Marfrig was awarded the Gold Seal by the Brazilian GHG Protocol Program. The Gold Seal is an important certification granted to companies that meet all transparency criteria in publishing their greenhouse gas emissions inventory. It is worth remembering that Marfrig was a pioneer in the beef industry in reporting GHG and the only one to report Scopes 1, 2 and 3, and also to have its targets and scopes approved by SBTi. Those efforts and results obtained with the Marfrig Verde+ program along with other actions demonstrate our commitment to sustainability, generating positive impacts throughout the company's supply chain in all regions where it operates. I now pass it on to Tang that will present the financial results.
Tang David: Thank you, Paulo. In the following slides, I'll show you Marfrig Global Foods' consolidated financial results for Q3 of 2024. On slide 12, I'd like to start with the left-hand chart. In Q3 2024, we generated BRL 37.7 billion in consolidated net revenue, a 12.4% growth over Q3 2023. Of this revenue, 41% was generated by BRF, 48% in North America and 11% in South America. In terms of currency, 76% of net revenue was tied to the dollar and other strong currencies 24% in reals. On the right, in Q3 2024, we generated BRL3.9 billion in adjusted consolidated EBITDA, with a 10.3% margin. Q3 2024 EBITDA is 60% higher than the same period of last year with a strong contribution from BRF. 76% of adjusted consolidated EBITDA in Q3 2024. These increases in revenue and EBITDA reflect Marfrig's strategy of investing in a diversified business model both in protein and geography with a focus on a value-added portfolio. On Slide 13, this is the free cash flow data. In Q3 2024 consolidated operating cash was positive at BRL3.7 billion. CapEx investments amounted to BRL942 million and financial expenses were BRL1.3 billion. As a result, free cash flow for the quarter was positive at BRL1.4 billion. Slide 14, net debt and leverage. Consolidated net debt stood at $7.1 billion at the end of Q3, 2024. Meanwhile, the leverage ratio measured by the ratio of net debt to LTM adjusted EBITDA fell from 3.05 times to 2.86 times in dollars. When measured in reais that ratio dropped from 3.38 times to three times, highlighting the strong operational results of our segments in South America, in all three segments actually. Slide 15, leverage reduction. With strong operational performance in Q3 2024, along with the partial receipt of proceeds from the sale of the South American assets in October 2024, we implemented several actions to reduce consolidated debt, financial expenses and leverage. At BRF more than BRL2.5 billion was already reflected in the company's gross debt in Q3 2024. At Marfrig, I highlight, the US, US$500 million call on the 2026 bond announced in October 2024 along with the early redemption of the 10th debenture issuance amounting BRL500 million on top of BRL1.25 billion in prepayments and settlement of bilateral lines. These initiatives for leverage reduction financial expense reduction and debt reduction are part of Marfrig's financial discipline in capital allocation and value generation to our shareholders. On to my last slide, I would like to point out Marfrig's profitability. For the fourth quarter in a row, we present a net profit of BRL 79 million in Q3 2024 compared to a loss of BRL112 million in Q3 2023. Our protein diversification and in geography and our model – our business model at a value-added portfolio contributes to generating robust value to Marfrig's shareholders. We remain focused on continually capturing operational efficiency, cost control and leverage reduction resulting in maximized returns for all our shareholders. Thank you very much. I'll hand over to Mr. Marcos Molina, for his closing remarks. Mr. Marcos Molina, you may have the floor now.
Marcos Molina: Good afternoon, everyone. Some final thoughts to give you an overview on capital allocation. I won't be present in the Q&A session because I have to travel and I won't be available as you know through our Investor Relations channels. First I want to thank all our shareholders. In 2023, we had a capital increase both at BRF and at Marfrig. And over 90% of shareholders participated in that capital increase at Marfrig in 2023 was BRL2.160 billion and BRF BRL5.6 billion. Special thanks to SALIC and PIF for the partnership over the years with the initial investment in increasing capital and that's also an expansion strategy in the Middle East, as we announced, recently along with PIF in this new joint venture Halal. That gave us growth and the consolidation, having the Sadia brand, after the conclusion of the joint venture there. I want to thank the investors that invested in 2023. We chose to be financially conservative, without paying out dividends in 2023, but rather increasing capital. And today – yesterday, actually we decided to pay out dividends, as a return for the investments made in 2023, on November 15. We have a clear vision of Q4, that will be in line with the previous quarters in the year, with cash generation, robust results showing that we adopted the right strategy in both companies especially, with CapEx investment that we started in 2021. So BRL 2.5 billion in dividend payout. This is no guidance, but just to replicate Q3, adding what we received from the sale of assets, but also cash generation. So this is going to be the seventh consecutive quarter, reducing our debt level. We will end the year below 3 times and maintain our financial discipline, reducing our debt versus EBITDA with cash generation and solid capital allocation providing return to shareholders and allowing the management to invest in our growth. I want to thank all the leadership team, both at Marfrig BRF and National Beef Tim Klein Rui Gularte for the excellent job they've been doing leading the companies, over the years allowing us to achieve these results. Capital allocation, except the dividend payout, we still have BRL 3 billion. We've bought back BRL 500 million in bonds. As of May, we have more options to pay the debt. We will keep on paying the debt. BRF has its lowest indebtedness level, closer to the assembly, we will decide on dividends and capital allocation. But cash generation is important and we want to be financially conservative. We want to achieve investment grade, and providing return to our shareholders. We are confident, closing this quarter. We are buying grains and cattle with low inventory levels. And we are increasing our box beef products, value-added products improving productivity and efficiency. Miguel showed us the strategy we must follow. National also has a solid strategy. We concluded investments revamping one of our plants that will become one of the most modern in the world at Liberal that will be fully operational in January. So, we are very optimistic for 2025 as well. I want to thank everyone for your trust. Let us move on to the Q&A session and we will be available. Thank you all very much.
Operator: Thank you. We will now start the Q&A session. [Operator Instructions] Lucas Ferreira from JPMorgan asks the first question.
Lucas Ferreira: Good afternoon folks. My first question is a follow-up on what Marcos just said about and it's about capital allocation. Maybe the question is more directed to Tang as far as the balance sheet goes. When you decided to pay out the BRL2.5 billion the optimal leverage ratio thinking about short-term cycle for both National Beef and cattle and herds in the U.S., what would be the ideal leverage ratio that would make you feel comfortable? Now, that you have more resources coming in from the sale of assets could that be translated as more in dividends? How about somewhat bigger buyback program? Why BRL2.5 billion in dividends and why not more buybacks? The other question is about it's to Rui. Could you talk about the cycle in Brazil beef cattle? And what's your take about the cattle price? What are the implications on demand? What is the outlook for the price of 15 kilos in the coming months? Thank you.
Tang David: Lucas our cash position is very comfortable in consolidated terms. In the three segments, quarter-on-quarter, our performance has been very strong. Even with the low cycle in the U.S. National Beef is delivering positive margins and results. So, another important factor this is the sixth quarter where our leverage drops at Marfrig in consolidated terms. So, comfortable cash position. Adjusted operations. Our strategy to diversify geographically selling more value-added products, this is what the Board looked at to make the decision of paying dividends. Besides there was the sale of assets, the monetization of taxes, you must have seen the monetization of taxes. We have the sale of the tannery, allowing Marfrig to be very resilient with very robust margins. So, those were the fundamentals that were considered by the Board for the decisions that were made. You saw in our presentation that both Marfrig and BRF have worked to reduce the gross debt. So, all those factors make us comfortable to have made that decision.
Rui Mendonca: Hi Lucas, this is Rui. Good afternoon. Since 2022, we have a strong supply of cattle in Brazil. Still in Q3, we had 10%, when compared to 2023, that increase in Q4 an imbalance between supply and demand and a substantial increase in the 15 kilo price. But we have a new operations model with the feedlot with higher occupancy rates, in that very critical time in September in October. We maintained the occupancy rate above 90%. The feedlot numbers and we had 30 applications. Even the added value we've been increasing, that gives a differentiated position. So we remain optimistic, about the coming quarters. We have to look at the very strong demand from the international side. There has been price increase in China. We are now exporting boxed beef to Japan. So those alternatives make us feel optimistic about it.
Lucas Ferreira: Thank you.
Operator: Gustavo Troyano from Itaú BBA asks the next question.
Gustavo Troyano: Good afternoon. I actually have two questions. First, the question is to Tim, about North America. We're coming out of Q3 and now right in the middle of Q4. We know their seasonality plays out. Demand is not as strong, when compared to Q3. Is the seasonality this year similar to what we had before to better -- I want to better understand profitability, as we move into Q4? Still on the North American operation, what's the outlook for next year, now that we've had guidance from your competitors? There's that marginal worsening, when compared to forecast for next year. What's the expectation for North America? Is that aligned to your guidance? Or is there anything else the company can do to lessen that negative impact? My second question is to Rui. Now on to South America, you talked about the exposure to boxed products. Rui, can you elaborate as to the variations of the margins in the processed products and the fresh meat? I'd like to better understand, your more resilient portfolio. What the margins -- what margins can we expect, when you look at the price of 15 kilos? Because in fresh meat, we have a more direct transition into the margin, so what's the evolution of that margin for boxed beef, especially when compared to fresh meat?
Rui Mendonca: So Tim you go first. Tim, you're on mute?
Tim Klein: Sorry, I was on mute. This is Tim. In terms of seasonality, yes, we are seeing the same seasonality in Q4 compared to Q3. Beef demand, however, has been exceptionally strong even in the fourth quarter. We have the holidays coming up. But all-in-all we're seeing decent demand at the levels we're processing cattle and the heavy weights that we're working through. So we feel pretty good about where we're at here in the fourth quarter. In terms of the outlook for 2025, we have not seen any meaningful signs of retention taking place yet. So we expect 2025 to be in line with previous expectations and margins at the low end of the cyclical range.
Rui Mendonca: Hi, Gustavo. When we speak about value-added products we put together boxed and branded products. For instance, the support from the feedlots that brings us better quality beef increases our share with branded beef. To give you an idea 40% of the sales volume is branded beef. And besides the feedlots that we will expand then, we are working in large plants, where we slaughter de-bone and box beef. So large plants have a production cost 35% lower than a midsize plant. So that's a margin improvement. And we can't forget that in this brand combination with BRF, we truly believe in leveraging our sales and leveraging our margins, selling brands with renowned quality, sustainability with international and national recognition. So we truly believe in that project in partnership with BRF using the synergy between the two companies. All those factors will guarantee better margins in our model.
Gustavo Troyano: Thank you. That was very clear.
Operator: Isabella Simonato, Bank of America is up next.
Isabella Simonato: Thank you. Good afternoon. I have two questions. The first is about the pricing dynamics for beef. Much has been talked about the strong demand both in the US and here, also in the exports market. It's a very supply constrained scenario. Both from Rui and Tim, I would like to hear your take on what's the risk of having even higher beef prices providing more profitability especially in the US despite this low cycle. The second question is about leverage. I think, you approach leverage looking at the debt in a consolidated fashion. But I believe that, the BRF cash generation and the drop in that leverage has been contributing positively in the consolidated results. But when you look at Brazil excluding -- or Marfrig excluding Brazil there's a significant portion within the holding company. So I would like to understand, how the company looks at this picture and the need to de-leverage the holding company right now or maybe you believe it's a natural movement coming from the cash that BRF will be increasing to a certain extent or maybe other movements coming from assets that we may expect in the future?
Tim Klein: Yes. This is Tim. I'll answer the question regarding the cattle prices. We fully expect cattle prices will continue to move higher as we go through the cycle. But again, beef demand has been very robust and we expect that although margins will be at the low end of the range, we'll still be able to manage our way through it.
Rui Mendonca: Hi, Isabella. Speaking about fresh beef prices, we must remember the new approvals for exports that Brazil has obtained especially Marfrig, along with the approved plants we already had that opens up a large market alternative. Yesterday, we renewed the Mexican tax exemption program. That is our beef will not be taxed in Mexico which is interesting again this year. So our work to diversify markets along with our brands. Well, there will be a cost transfer to the market and the beef might become more expensive in that period. Obviously, the domestic market has performed strongly in the past few years. This quarter, we grew 15% our sales volume in the domestic market as compared to the same quarter last year. Our domestic market also receives a lot of box products both in Brazil and in Argentina, 70% of boxed beef that already account for, over 25% of our revenue will be sold to the domestic markets in Brazil and Argentina. So the domestic market has absorbed branded and boxed products whenever needed.
Tang David: Hi, Isabella. We control leverage in a consolidated fashion. But in answering your question as to the ex-BRF, I think Marcos explained it in his closing remarks. He said that Marfrig has several options to decide as to how it will distribute by segment is one of them. So we remain comfortable at this leverage level even in the ex-BRF. But Marfrig has alternatives just like Marcos explained.
Isabella Simonato: That was very clear. Thank you.
Operator: Ricardo Alves from Morgan Stanley asks the next question.
Ricardo Alves: Good afternoon. Thank you for the call. My first question is to Tim. I'm sorry, if I did not understand your previous answer, Tim. Let me follow-up still talking about the cattle cycle for 2025, especially the retention of heifers. I would like to hear your most recent opinion on heifer retention. And what's your take? How can this retention impact cattle supply next year? Cattle prices are going up. That's clear. But I would like to understand your take on heifers. My second question is to Tim as well. Can you elaborate on having higher weight in the carcass will impact your operation today? How can we expect -- what can we expect as to the carcass weight for 2025? Because the USDA has already reviewed upwards the output for beef next year. This is a very important dynamics to understand the impact on your operation. My third and last question to Tang. The only thing that's not clear to me the remainder of that money, I think, Marcos put it clearly about capital allocation among other things. But on a short and mid-term basis, what are the most obvious strategies for liability management? What can we expect from Marfrig as to how you address your gross debt? Thank you so very much.
Eduardo Puzziello : Tim rather.
Tim Klein : Yes. Regarding your question on heifer retention. As I said before we have not seen any signs that the retention is taking place yet. Our expectation is that it will occur sometime in the next year, we would guess, because we've got good grass conditions in some of the key areas. So when that happens those heifer won't be held back. So, obviously, cattle supplies will drop in the feedlots. And we've forecasted that and baked that into our numbers for 2025 and beyond. So that will happen. We just don't know when. And we watch the data every week on the receipts at the auctions to look at what the steer/heifer mix is coming into those markets. The weights as you pointed out we've seen record carcass weights. The reason is the cost of putting those extra pounds on is much less than what the market is for those pounds. And so cattle feeders are feeding the cattle to very heavy weights. We have seen those weights level off. They're about as heavy as they can get. And so we don't see that as being a detriment to our margin structure in 2025 like it was in 2024. For us as a packer, we buy cattle by the head, but we sell pounds. So if you have more pounds per head of product you have to sell you have to clear in the market that tends to put pressure on the market. So we don't see those weights going up much further if at all from where they're at today.
Tang David : Ricardo, you saw our presentation that Marfrig is removing BRL 4 billion in debt, BRL 500 million in bonds, the debentures that we bought, the bilateral lines, all of that is included in those BRL 4 billion. In the normal course of our liability management, we are always on the lookout for opportunities and with a strong cash generation. We have a list of bilateral lines that we have available. And according to our cash generation, we eliminate those financial expenses.
Ricardo Alves : Thank you, Tang. Thank you, Tim.
Operator: Guilherme Palhares from Santander. You may ask your question, sir.
Guilherme Palhares : Hello, Tim. Good morning to you. Thank you for taking my question. My first question is to you Tim. Tim, what's your take on all the political issues now with the new administration, labor availability and closing some markets as far as imports are concerned and the tariffs problem. I would like to hear your take on what the impacts may be in the industry. What are the top concerns you have? This is my first question. The second question, I'd like to go back to Brazil. We would like to better understand this very strong demand. Just like we said Rui, we've seen an important price transfer for the wholesale with higher cattle prices. How can you project year's end earlier this year or earlier next year with more income restrictions? Are you going to keep on transferring those higher prices to consumers? Or do you envision -- do you envision something that won't happen both in cost and also in the revenue side? Thank you.
Marcos Molina: Tim?
Tim Klein: Yes. Regarding the change in administration we've been there before four years ago, we had the same administration in there the same issues that we dealt with as far as immigration as far as tariffs and free trade. So we've been there before. It did not impact our business. We don't expect that will impact our business during this administration.
Rui Mendonca: As far as the domestic market goes in Brazil obviously, our unemployment rate is very low. Our inflation rate is also low that favored the domestic market and its purchasing power. Obviously, as we focus on brands, we move away from the rest of the market. It's a lot easier to transfer costs if you are selling renowned brands, especially now with the brand partnership with BRF. We have the main brands in Brazil, Sadia and Perdigao namely. So we sort of move away from the rest of the market in that sense. We must remember that the dollar is very strong that has directed a lot of volume to exports making the market leaner allowing us to move prices up. It's a combination of factors actually.
Guilherme Palhares: Perfect. If you could just clarify the dates for the Uruguay operations. What are the main future dates to conclude the operation?
Rui Mendonca: Guilherme, as we've seen, there was a second refusal on the antitrust agency in Uruguay. This is the last resort is with the executive branch. Decision should come in December. So this is going to be the final verdict.
Guilherme Palhares: Thank you, Rui.
Operator: Thiago Bortoluci from Goldman Sachs asks the following question.
Thiago Bortoluci: Thank you for taking my question. I'd like to focus on South America with Rui. In one of the answers Rui, you said that the penetration of value-added products is about 40% of your portfolio, right? With all the investments and expansions that you've made so far on top of the expected Brazilian demand you mentioned. Where can this mix go next year on a mid-term basis? Where would you like to bring your portfolio settled? That's my first question. My second question is to Tang about capital structure and capital allocation. We understand that you look at leverage at a consolidated level. And we also understand the deleverage history of the company. Earlier colleagues from BRF mentioned and said they have a very constructive view for expansion and growth from now on. My question is given BRF's ambitions today Marfrig's needs to deleverage as a whole Brazil ex-BRF maybe needing some cash from BRF. Is that a limiting factor as to how much you can invest from here on out? These are my questions. Thank you.
Rui Mendonca: Thiago, I'll speak about the domestic market. When we say 40% of branded products we must remember that the capital is made of different parts and some are not appropriate for brands for instance, AFAM [ph] one of the quarters in the front quarter. If we just look at grilled cuts over 60% of our sales are branded. Obviously, we can advance in those brands with combinations with box products. We have done some work. We have some beef products this year using the synergy with the companies among many others we will capture. So those cuts that are not attractive to bring consumers to the brand that are alternatives like processed and other possibilities. And we will keep on growing that percentage using that strategy and using quality improvement of the cattle that comes from the feedlots.
Tang David: On your question, no there is no limitation to BRF's growth. Marfrig is comfortable with our leverage. So we have an array of options. There are no limitations for BRF's growth.
Thiago Bortoluci: Thank you very much. Very clear.
Operator: This concludes the Q&A session. If you have any questions please submit your questions to IR team, ir@marfrig.com.br. Thank you. Have a great day.